Operator: Good afternoon. Thank you for joining us for the BioTelemetry Third Quarter 2017 Earnings Conference Call. Certain statements during the conference call and question-and-answer period to follow may relate to future events and expectations and as such constitute forward-looking statements within the meaning of the Private Securities and Litigation Act of 1995. Such statements involve known and unknown risks, uncertainties, and other factors which may cause the actual results, performance or achievements of the Company in the future to be materially different from those statements that the Company’s executives may make today. These risks are described in detail in our public filings with the Securities and Exchange Commission, including our latest periodic report on Form 10-K or 10-Q. We assume no duty to update these statements. At this time, all participants have been placed on a listen-only mode. The floor will be opened for questions and comments following the presentation. It is now my pleasure to turn the floor over to your host, Mr. Joseph Capper. Sir, you may begin.
Joseph Capper: Thank you, operator, and good afternoon everyone. I’m Joe Capper, President and CEO of BioTelemetry. I’m joined by Heather Getz, our Chief Financial Officer. I’ll start with a recap of our third quarter performance and other key developments. Heather will take you through a more detailed review of our financial results. I will then provide commentary on how we see the business continuing to evolve as we closed our 2017 and move into next year, especially in light of our combination with LifeWatch. After our prepared remarks, we will open up the call for questions. Let’s get started. I am extremely pleased to report this afternoon the results of another record-setting quarter in which we set all-time highs in revenue and EBITDA and posted our 21st consecutive growth quarter. This performance is even more noteworthy given the time and resources required to facilitate the integration of LifeWatch and the challenge is closed by the Hurricanes in two of our largest markets, Texas and Florida. Our focus since the acquisition in July has been and continues to be maintaining continuity of operations. Our healthcare services business has been a standout performer due to our strategic focused and our ability to implement its various elements. As such our goal was to add LifeWatch to the portfolio as seamlessly as possible and continue to execute on our business objectives in the same fashion we did prior to the acquisition. I’m pleased to report that is exactly what is happening. Two areas of vital importance are to maintain a focus on customer retention and provide excellent customer service. Post the acquisition, we immediately began to identify best practices across the enterprise that would maximize our effectiveness in these and other areas, and began to take steps to embed these practices into all of our operations. As a result we are without question an even better company today. We are now in a stronger – competitive position due to LifeWatch and better able to execute on our strategic objectives. For those of you who are new to the company, I would like to share with you the three principles which guide our strategy and have led to the consistent growth we have had for more than five years. Every initiative we undertake can be track back to one or more of these things, which are to go deeper and wider in cardiac monitoring in order to expand our leadership position. To continue to build upon our leading Research Services business by expanding our service offerings and last to identify other markets that would benefit from the application of our wireless platform and proprietary technology. Clearly the acquisition of LifeWatch is consistent with our intent to solidify our leadership position in cardiac monitoring. Our global cardiac monitoring capabilities and reach are now unmatched. And the power of our vast platform makes us ideally situated for expansion within and beyond the cardiac market. Let’s take a few minutes to review some of the third quarter highlights. During the quarter revenue grew by over 53%, to $81 million, slightly below expectations due to the hurricanes. We estimate the revenue impact of the storms on our business was approximately $2 million. One indicator of the disruption caused by the storms was physician office visits in the affected regions, which were down 9% in September versus the prior year and down 26% compared to August. As we not experienced these weather related challenges revenue would have been easily within the range we expected. Despite the headwinds on the top line EBITDA still met our expectation and $17.5 million up 43%. We ended the quarter with $26.2 million in cash, which was better than expected given all the one-time expenses associated with the integration. Our Research Services team continues to expand backlog well ahead of expectations. In our new digital population up management business, we entered into a partnership with Onduo a startup owned and funded by Sanofi and Verily Google’s healthcare business and we advanced activities with a few other potentially important partners. And of course, we spent a considerable amount of time working on the integration of LifeWatch into our healthcare services business. This acquisition has accelerated growth plan by several years and is a complete game changer for the company and for the physicians and patients we serve. As previously announced we took operational control of LifeWatch on July 21st – July 24th and we have made tremendous strides during the first few months of the integration process. I would like to again thank the new team members from LifeWatch for the way they have embraced this combination. Both organizations were quick to align around key objectives from day one and are committed to continuing to deliver the most innovative connected health solutions in the world. As a result of this teamwork, we are tracking ahead on schedule for achieving our goal of $30 million in synergies, which will position the company for a tremendous 2018. As mentioned earlier, two of our primary objectives throughout the integration are to maximize customer retention and provide excellent customer service to ensure continued growth. In order to accomplish these goals, we knew it was important to integrate the sales and marketing organization as quickly and efficiently as possible. Thanks to tremendous cooperation and commitment by all involved this task was completed within the first few weeks with proportional representation from both the former sales crews. We also plan to rebrand the division in the coming months leaving the legacy brands behind. Since it is not uncommon to see some customer churn when two similar to competitors merge, I thought it would be helpful to share a few key data points in this area. We closely monitor the activity in our largest and most valued account – accounts. And I’m delighted to report that since the acquisition we have not lost a single large account. Not one. Within our top 500 customers, which account for 50% of our total healthcare business, revenue for the three months post the acquisition was up slightly as compared to the three months directly preceding the acquisition even with hurricanes. In terms of continued growth the story gets even more interesting as we take a close look at MCT patient volume trends. For August and September, the first two months post the acquisition MCT volume was up 10% year-over-year. It also makes sense to look at this number on a daily basis since this year September had one less business day than in September 2016. On a daily basis MCT volume was up 12.5% for August and September as compared to the prior year, and we continue to see similar trends into October. This is incredibly positive news for flagship product. Instead of pulling back or flattening now which would be typical in a merger of this kind the MCT business is accelerating and it is doing so off of a much larger base of business. The feedback we’ve been hearing about the transaction has been positive and the marketplace is clearly confirming those sentiments. On another note CardioKey and ePatch extended-wears continue to penetrate the market as complimentary offerings to our connected products. We expected service line to extend quite nicely in 2018 as the former LifeWatch sales representatives begin to detail these products. But the combination completes, we are now the largest and most profitable connected health company in the world with an extremely powerful market position in the field of remote cardiac monitoring. We have the most advanced technology, powering the best systems, managed by highly talented people, partnered with tens of thousands of physicians all working hard to save lives. Not to be up done, the other parts of our business continue to make steady progress against their specific objectives. In our Research Services business the team has been doing an excellent job building a backlog and a record pace. In the third quarter, we had our highest quarterly bookings in the history of the company. Year-to-date bookings to the third quarter – through the first three quarters were also the highest ever. The team continues to make excellent progress integrating streamlining, the technology platforms necessary to scale the business. We’re also in active discussions with several parties as the potential cardiovascular component in their mHealth initiatives for clinical trials. There is a movement within the industry to find ways to bring clinical trials to the patient rather than bringing the patient into the clinic, which would provide a far more efficient way to conduct studies. BioTelemetry devices, operations and infrastructure represent the clear best-in-class solution in this endeavor. Obviously our market position in remote cardiac monitoring is second to none. And the research division is emerging as a prominent player in the clinical services market. Both of these markets represent attractive large opportunities with robust growth potential. Additionally our PHM business continues to make excellent progress, as mentioned we entered into a partnership with Onduo under this arrangement we will service a supplier of wirelessly connected blood glucose systems and resulting data for Onduo groundbreaking diabetes management program. This novel approach towards diabetes management brings together technology and medicine to empower people with this disease and those who treat them. We also continue to work on a few other pilot progress, which could lead to large and exciting partnerships. To sum up our highly successful third quarter, while we spend a significant amount of time and resources on the integration of LifeWatch into our market leading healthcare services platform we did not lose focus, as evidenced by the excellent quarter just reported. It is also important to note, we are ahead of schedule on our key milestones and our performance metrics look outstanding. As I mentioned on our last call, in 2018 we will service in excess of one million patients. Our revenue will be north of $380 million with an EBITDA margin in the mid 20’s. And the company will be generating a significant amount of free cash allowing for accelerating investments into other connected health solutions, solutions which will improve the quality of care and dramatically reduce the cost to deliver that care. In all it’s hard to find another company as well positioned as BioTelemetry as we embark on the next big opportunity in healthcare today to connected health revolution. Companies which can demonstrate proven solutions in this market will reap enormous benefits. I’m not turn the call over to Heather for detailed financial review of the quarter. Heather?
Heather Getz: Thank you, Joe, and good afternoon everyone. As Joe just announced the third quarter of 2017 marked our 21st consecutive quarter of year-over-year revenue growth with total revenue of $81 million. This represents a 53% increase as compared to the third quarter of 2016. Healthcare revenue was strong with an increase of $29.1 million resulting from volume increases largely driven by the acquisition of LifeWatch and a 9% increase in pro forma MCOT volume. Partially offsetting these positive volume drivers or the lower Medicare rate that became effective January 1, which as expected impacted us by about $1 million, as well as the storms that occurred in Texas and Florida in September, which we estimate impacted us by about $2 million. On a pro forma basis, the healthcare segment grew by 7.5% and if we did not have the Medicare rate reduction, the revenue growth would have been 9%. Our research revenue decreased $1.1 million largely due to lower cardiac revenue partially offset by an increase in imaging studies. Moving to gross profit, our margins for the third quarter was 61% versus 62% in the third quarter of 2016. The decline in margin was primarily due to the impact of the Medicare rate reduction and the recent acquisitions, which carried slightly lower margins than our existing businesses. Partially offsetting these declines were volume driven efficiencies. Our third quarter adjusted EBITDA of $17.5 million was our highest quarterly adjusted EBITDA in the company’s history and represented a 22% return on revenue. This return was what we expected and reflects the positive impact of targeted investments that we have made in the business and synergies realized in the acquisition of LifeWatch. Remember pre-acquisition on a pro forma basis the combined company’s EBITDA return was approximately 18% and in less than one quarter we were able to drive a 400 basis point improvement in EBITDA return. To expand on the synergies resulting from the LifeWatch acquisition, as you know, we committed to the street $25 million to $30 million of synergies. I’m pleased to note that we have already specifically identified at least $30 million and have realized approximately $3.5 million in the third quarter. We’ve incurred $7.2 million of costs in the quarter related to the acquisitions including investment banking fees, consulting, severance and retention. In addition, we realized 600,000 of one-time costs for patent related legal expense. My original guidance which for approximately $15 million in the second half for one-time costs, but this is still an accurate number for cash cost due to the acceleration of the integration we may also incur some non-cash charges related to asset write-offs for things such as intangibles, equipment and information systems that may not be utilized. We will update you in the future on these numbers. Next regarding 2017 taxes, as I mentioned on the first few calls this year you will see some variation from quarter-to-quarter in our GAAP tax rate due to the timing of discrete items as well as the LifeWatch acquisition with the current expectation that the full year GAAP tax expense will be approximately $2.5 million $3 million. However, as we discussed last quarter, due to the utilization of net operating loss carryforwards, we expect our 2017 actual cash tax rate to be about a $1 million. Moving to the balance sheet, we ended the quarter with $26.2 million in cash and a $204 million of indebtedness, which was used to acquire LifeWatch and refinance existing debt. Year-to-date we generated $10 million in cash from operations and used $12 million for capital expenditures. The CapEx, which for additional devices in our healthcare segment as well as a refreshed of some hardware in our data center to support additional security protocols and the acquisition of LifeWatch. Shifting gears, I will now touch on the outlook for the full year and the fourth quarter of 2017 as well as update you on 2018. Going into the year, we guided to low double digit revenue growth with EBITDA return of about 23%, our strategy has delivered strong results, which enabled us to achieve year-to-date expectations and complete a significant acquisition. We expect our full year reported revenue to be in the $283 million to $284 million range with an EBITDA return of close to 23% for the quarter this represents about $88 million to $89 million of revenue and EBITDA of about $21 million or about a 24% return in the fourth quarter. There will be one-time cash expenses relates the acquisition including severance redundant costs and retention in the amount of about $5 million to $7 million. This does not include the potential non-cash charges I mentioned earlier. We will end the year with approximately $22 million in cash, this reduction versus Q3 reflects the additional shares that will be acquired during Q4 for the squeeze out of the LifeWatch shareholders as well as increased capital expenditures as we prepare for 2018. We are still comfortable with our directional guidance for 2018 from last quarter of about 10% growth on our 2017 pro forma numbers, which should put us over $380 million of revenue and well over $90 million in adjusted EBITDA. We will continue to refine this outlook as we progress. To summarize, post acquisition the company remains in a strong financial position with modest leverage and additional capacity if needed, we just posted our 21st consecutive quarter of year-over-year revenue growth. As a reminder at the end of September, we were less than one quarter into a major acquisition and we were able to grow pro forma revenue in the segment by 7.5% while driving a 400 basis point improvement in EBITDA, This is really extraordinary. These results and consistent growth has provided and we’ll continue to provide us with the financial strength and flexibility to execute on our key growth initiatives. And with that, I will now turn the call back to Joe.
Joseph Capper: Thanks, Heather. As you just heard, we had an excellent third quarter building on the momentum we have cultivated over the last five years. Our strategy is yielding the results we expected, and we continue to broaden our opportunities. We are in a early stages of several potentially significant drivers of future growth. The importance of the recent acquisition of LifeWatch should not be underestimated. This transaction has advanced our growth plans by several years and the organization is every bit as exceptional as we had hoped. We compliment each other’s strengths to the benefit of those we serve. To ensure our continued success throughout the rest of the year and as we prepare to enter 2018, we will focus on completing the integration of LifeWatch, expanding our comprehensive approach with the continued rollout of a series of patch products and developing a longer term product roadmap that takes full advantage of our unparallel technology and IP portfolio. Contracting with additional payers, including Anthem subsidiaries and ensuring maximum pull through for those services. Continuing to grow our Research Services backlog at the accelerated rate we were now experiencing and converting that backlog into revenue and leveraging various developing relationships to build out a world class digital population health management business. In summary, given our solid results the strong momentum of our business the stable reimbursement environment and greater visibility into the synergies created by the acquisition we are tremendously optimistic about our future prospects. All in all things are tracking better than anticipated. We’re not pretty adverse weather in the first part of September revenue would have been right on target and EBITDA slightly better than expected. Heather spoke about what we expect in the fourth quarter and how we see 2018 beginning to take shape. By the time we enter 2018 most of the costs associated with reorganizing the merge business should be behind us, setting the stage for a spectacular year. We’re also actively engaged in several negotiations, which we believe will lead to a few significant strategic partnerships having the potential to increase our expectations for 2018 even further. With the addition of LifeWatch we’re going to have the largest and most profitable connected health company in the world. This allows us to bring more scale and provide even better solutions for the larger chronic care markets, which have the potential to be enormous opportunities for BioTelemetry. The company has come a long way in the past five years. As I look at the opportunity before us, I can confidently say our best days are ahead. We currently operate a powerful cardiac monitoring platform from a market leading position, which has the potential to produce solid growth for years to come. On top of that we can offer reliable solutions that allow us to capitalize on one of the main challenges in healthcare today, connecting patients and their data to care providers remotely. We are steadfast in our commitment to innovate and create connected health solutions, and we are confident those companies who can bridge that divide will be amply rewarded. As I close, I would again like to thank those of you who helped deliver our 21st consecutive growth quarter and I look forward to talking about number 22 next quarter. With that we will now pause and open the call to your questions. Operator we’re ready for our first question.
Operator: Thank you. [Operator Instructions] Our first question or comment comes from the line of Brooks O'Neil from Lake Street Capital. Your line is open.
Brooks O'Neil: Good afternoon and thanks for taking my questions. The first thing, I was just a little curious about is, it look to me like the G&A number that you’ve reported of around $20 million was a little bit less than I was looking for and obviously we start off with the presumption that my modeling skills have limitations. But was there anything unexpected in terms of costs in the quarter that you might point too?
Heather Getz: So Brooks, you’re saying that you modeled a higher G&A number?
Brooks O'Neil: No I don’t – I’m sorry, I model about $20 million in it if I read the press release correctly, it look like it was about $25 million?
Heather Getz: So, one of the things that impacted the quarter was the amortization of intangibles that you may not have accounted for that would have been about $2.5 million.
Brooks O'Neil: Okay.
Heather Getz: That’s probably the most significant item that I can think. The other or maybe geography, my guess would be that our margin was probably slightly better than you expected as well, so the other piece of it mostly likely is geography on the P&L.
Brooks O'Neil: Okay. And then, I appreciate your comments about expenses related to the merger. I think you did say previously $15 million, I thought, I recall that you’ve said you sort of thought is thirds of it or the majority of it might be in Q3 and it looks now like more like a 50-50 mix if I’m doing the math right?
Heather Getz: Yes. So Brooks, there were some non-cash benefits that hit that $7.5 million, so the actual will return in cash expenses are closer to the $9 million number. So that’s why you still have a little bit of a range in Q4.
Brooks O'Neil: Okay. And then I’m just curious obviously there’s a lot of talk of competition in the market place, would you mind commenting at all about the competitive environment whether you think you see any impact from new or more aggressive competitors out there?
Joseph Capper: No, I mean look our primary market is to connected health markets. We think that’s for the action is, and that’s where we’ve been focused for the recent past and for the foreseeable future. The competitive landscape, I mean there’s always appears competitive sound there. I think – I’d like to think that we’re holding our own then that we’ve with the largest and the fact that we were able to grow through the first couple months of this acquisition is actually remarkable. I mean Brooks, when you integrate two competitors like this it is really not uncommon to have some customer churn in that, 5% sometimes 10% range. The fact is Europe maintaining all of our customers, we’ve got revenue growth in there. We have MCT accelerating that’s unheard of, again it’s only the first couple of quarters here, the first couple months into the second quarter of the integration. But you just typically don’t see that. So I think that is a reflection on how well the organizations have come together, how well the sales and – the sale leadership team integrated the two organizations. Remember you had – I had to take them out – we have to take them out of the market for the better part of a week in August to cross train them on products. And they still grew their business. So this is a pretty well received – merger and the integration is going much better than we had anticipated.
Brooks O'Neil: That’s fantastic. I appreciate all of that color. Just a couple more quick ones. I want to just confirm, I think I heard Heather say in the range of $385 million of revenue for next year, in the range of 23% EBTIDA margin, is that would you say Heather?
Heather Getz: Yes. So what I had given for the year was about $283 million to $284 million for the full year…
Brooks O'Neil: For this year?
Heather Getz: For this year. For next year, I said, we are comfortable with – it will come up with about a little over $380 million. Yes.
Brooks O'Neil: So book share is why would think about next year.
Joseph Capper: And again – it’s going – obviously third and fourth quarter this year coming probably little bit noise and so we work through all the aspects of the integration start to move in the next year. Our business will go as MCT goes, and the fact that our MCT volume is already tracking above 10% is really good news for our business in 2018. If you look at what’s happened so far this year, healthcare revenue was up about 7%, if on a pro forma basis, if we adjust that the Medicare wake up we took, it’s actually up closer to 9%, which is about the same rate if MCP volume is up. There is some question as to mix whether or not we were seeing in ASP degradation in our MCP business. That’s just not happening. So that business grows at 10%, it’s a pretty safe that the company grows 10% or north of 10%. Our overall revenue was only up 5% just after the Medicare rate about 6% why, because we had a drag on revenue this year from the research business and from the product business. So what’s research been doing all year as the cardiac monitoring portion of research slow down, imaging has picked up. They have built backlog at a record pace. They set themselves up for a really nice 2018. We have 10% growth plus in the healthcare services business, we’re going to have 10% growth plus in the research business and our new business, at healthcare business is in its infancy. And we just announced one major partnership. We have a couple other ones it hopefully you’ll hear about in the near future. So I can tell you we’re pretty darn optimistic about the way 2018 shaping up, obviously the risk associated with that would have been if we had a failed merger. This merger is gone better than any merger I’ve ever been part of my entire career.
Brooks O'Neil: Fantastic. That’s awesome. You mentioned just quickly healthcare, I just want to confirm that’s the diabetes monitoring business you’re beginning to grow?
Joseph Capper: That’s right. We acquired a small company back in late December 2016 and this year we’ve sort of been nurturing it making the kind of infrastructure investments and product investments necessary to grow the business in the years. And we’ve been working on a couple pretty unique partnerships one of which you’ve just heard about.
Brooks O'Neil: Great. Congratulations. Thanks for taking my questions.
Joseph Capper: Thanks.
Heather Getz: Thanks Brooks.
Operator: Thank you. Our next question or comment comes from the line Nicholas Johnson from Raymond James and Associates. Your line is open.
Nicholas Johnson: Hi guys thanks for the color. First for me looks like your cost synergy estimate has gone up within about three months, of course in the deals. So just wanted to kind of get a sense of where those incremental monies are coming from and maybe just remind me how you guys are thinking about the revenue synergy opportunity. Because it doesn’t seems like you lost any customers yet, so I know you are holding that back on the revenue side just because you were fearful maybe loosing some customers as you combined the organization, so any thoughts on synergies would be helpful.
Joseph Capper: So, I mean cost synergies are coming in pretty much as we had anticipated kind of on the high end of our range where we had anticipated, no real big surprises. I think that overtime we’ll do even a little bit better mainly because we’ve got a pretty strong culture of driving efficiency throughout the organization. We can put our hands on 30 today, which is kind of remarkable. We’ve taken actions to implement the majority of those. And again they’re not going to be all pulled through Jan 1, but we plan to have a good portion of that by random, we’ll pull them through over the next few quarters. At the outside of this we said we’re probably taking full 18 months to get them all, that is probably not realistic. But the good news is, originally we thought would probably come a third, a third, and third and third about $10 million in first six months, $10 million in the second, $10 million in the third, we’re actually getting them an accelerated rate. So we’ll have the majority of those pull through in the first couple of quarters. And that’s kind of really good news for us, because it helps kind of pave the way for next year. In terms of revenue look – we don’t really know what we went into this merger, we didn’t really know how the market would respond. We had anticipated it would be positive. We’d hoped it would be positive certainly. We didn’t think it would be this positive. And you have to remember we haven’t really even fully launched our next generation MCT product, the nice thing is we’ll be able to launch that as our first product as a merged company. We’ve got about 2000 patients on it now, feedback is unbelievable. The product is incredibly well received. We’ll start to really launch that in the market come first quarter with 100 sales reps a level we’ve never been asked for it sell on these products. So I think it’s positive, I think we’ll probably see more revenue upside, but you just don’t know, it’s hard to put your finger on that. So we tend not to get out in front of that.
Nicholas Johnson: That’s great. And then just maybe on that last point in terms of kind of your technology, your roadmap, how do you think about the merging of the portfolios overtime, certainly there’s so competitive noise across the marketplace. But just want to get your sense of maybe giving us an updated timelines as we think about that road map maturing over the next two to three years? Thanks.
Joseph Capper: So, I mean – I think the focus right now is to fully launch our next generation MCT product, which comes in two form factors of patch form factor and then lead wire form factor, which we know is important to the market because not everybody responds well to wearing a patch for multiple weeks. So it was important for us to do that and do it right and maintain the same accuracy that we have in our current MCT product line, which is you know no one even close to that, right in terms of sensitivity and specificity. So it’s really important for us to keep all that and then put it in the form factor that was flexible for the patient base. We’re really – we’re there and that product is starting to roll up, that’s a big focus. We’ve also over the past year launched a couple of extended wear products, new market niche created by one of our competitors, we can’t keep up with it, frankly every – we are – in the first quarter we’ll make a whole lot more devices to service that product line, because we’ve been taking some business there at an accelerated rate, which is kind of a good sign for us. So what we have found overtime is, our customer base appreciates a product portfolio approach not a one product approach, clearly when you get into the higher clinical end of the market, they want connected health products, they want feedback quickly, they want accuracy, and we can offer that. We have the most accurate systems in the market. We have the fastest turnaround time in the market, and we have the – certainly the most cost effective in terms of overall cost of care pretty good position to be. For those who don’t want connected products, we haven’t product offerings for them as well, Holters, Events and now extended wear Holters. But the portfolio is really important.
Nicholas Johnson: Great. I can just squeeze one more for Heather, cash flow expectations, as we think about that normalized adjusted EBITDA margin for next year north of $90 million. How do we think about free cash flow generation and your appetite either do you ever and/or potentially pursue more tuck-in transactions? Thanks.
Heather Getz: Sure. So, we’ll continue to pay down our debt on the – on schedule. We don’t anticipate accelerating the repayment that don’t give us some cash in the word just to be able to continue to evaluate additional opportunities, which we always are. And we’ll continue to look for different things. So next year we’re with $90 million plus of EBITDA even on a conservative basis, we’re going to be well in excess of that $60 million mark in free cash flow which obviously will provide us with some additional opportunities outside of paying down our debt.
Nicholas Johnson: Okay. Thank you. Thanks guys.
Joseph Capper: It is important. Like you mentioned potential tuck-in acquisitions, and yes, that’s always a way to accelerate our strategic plan, our focus in the near term is integrating LifeWatch and doing this right. And I think the early indicators are that the team is handling it quite nicely, but so yes we are always looking to augment that plan. We’ll focus right now is integrate this platform.
Nicholas Johnson: Thanks. I’ll hop back in queue.
Operator: Thank you. Our next question or comment comes from the line of Matthew Keeler from SunTrust Robinson Humphrey. Your line is open.
Matthew Keeler: Hi guys. Thanks for taking the question. Just first a clarification on the effect of the storm, I think you said $2 million is that disproportionately felt in the healthcare business or was some of that technology and research as well.
Joseph Capper: Across the board, we had a little bit impact, but mostly healthcare, I think obviously it’s the biggest portion of our business, so yes.
Matthew Keeler: Got it. And so the volume growth is stronger than we were expecting especially in light of the weather, but it looks like it was more driven by the LifeWatch side than the BioTelemetry side, is that correct and can you give us any color on kind of the differential performance of those two businesses?
Joseph Capper: I’m not sure what you’re getting that, but we saw growth across the board.
Matthew Keeler: Got it.
Joseph Capper: And as you look at another thing to remember, I mentioned in my comments, we merged the two sales teams within the first two weeks of the acquisition. So those two sales teams are one now, and they represent the entire product portfolio, which means I have former LifeWatch sales reps doing an excellent job someone former CardioKey and MCT products and vice versa. So we’re not really looking at it that way. We’re looking at in their ability to affect and we have reassign reps along the way. The fact that we got through that process and accelerated growth is remarkable.
Matthew Keeler: Got it. Maybe another way to look at it is, you gave I think 12.5% adjusted and product growth in August and September probably mid-to-high teens storm impact is what I’m guessing and somewhat slower than that in July, so was there – was there disruption ahead or as the merger was immediately implemented.
Joseph Capper: Yes, that’s probably a better way to look at it Matt. So I think if you went back and looked at both companies prior to the acquisition, you saw kind of decelerating growth, why is that? Because neither side was hiring replacement sales reps as you’re moving it into a merger, merger takes time and resource away from kind of management focus. So we like both groups start to slow down little bit. I can’t remember our exact numbers, but they were probably somewhere in a 4% and 6% range in Q1 and Q2, so it kind of mid-single digits. We knew that was going to happen when you run in 10% vacancies in your sales group due to your natural attrition, if you’re not back to one, you’re going to have some impact like that that’s natural. There are some inventory issues as well on kind of both sides. So maybe more in the cardio net side. But once we kind of got through that get a deal closed, and we can merge two groups, you went from now having a group with 70 in another group with 40 people competing with each other and some of the same accounts to have 100 people with the consistent message selling on the product portfolio. I personally did not anticipate seeing that type of ramp, it usually takes longer to kind of recalibrate the messaging, build relationships in new accounts workhouse get people trained on different products that all takes time. So I would have anticipated a little bit slower growth in that product line. We thought there would be some growth simply because of our size and in the market, but and our position both of our relative position, but I didn’t anticipate it being that strong. And like I said we saw the same thing in October. So it’s a really good three month trend. July was slower, because we just – we just that’s when we were sort of integrate the business, and we were training the sales reps right in the field.
Matthew Keeler: Got it. That’s helpful. And then I guess, you commented and our ability to retain share across customers, you now have – I think you said 70% in product share with LifeWatch in hand. Do you think that level of share or around there is sustainable longer churn?
Joseph Capper: I think we’ll grow it. There is no one even close to us in this market. There are some competitors that are formidable, but there is no one, it has the technology, that’s even close to us. Remember, when you get into MCT market, it’s not like the Holter market. Now you’re talking about doctors who really care about accuracy, sensitivity, specificity, which your clinical research look like. Let me tell, who else using your product, but you could say, every major healthcare center in the country using one of our products that’s pretty powerful.
Operator: Thank you. Our next question or comments comes from the line of Bill Sutherland from the Benchmark Company. Your line is open.
Bill Sutherland: Thank you. Joe, did I you say sales – the combined sales force is around a 100.
Joseph Capper: Yes.
Bill Sutherland: Okay. So you just kind of wondering to what you go rationalized it?
Joseph Capper: Well, if you go back and look at headcounts that was in place for 2016, which we tend to benchmark against, there was probably – the exact number, probably somewhere in the 25 to 30 range.
Bill Sutherland: You mean total 125 to 130?
Heather Getz: Yes.
Joseph Capper: It probably took about 25 to 30 heads off.
Bill Sutherland: Okay, I see. So that’s a key part of the synergies. Is the G&A that’s five points higher, is that also place we’re going to see a big change as far as realizing the synergies?
Heather Getz: Yes. So you’re going to see a kind of across the board here, that’s where the other large amount will be coming from.
Bill Sutherland: And on Anthem, did you mentioned – if you got the subs kind of fully signed up at this point?
Joseph Capper: We got seven of the 14 and we’re contracting with other ones, very slow process. We got a few more in last quarter. So we had a hope to see more ramp that, we just haven’t seen much yet, but hopefully 2018 will be better in terms of volume.
Bill Sutherland: And as you’re getting – so where are you roughly in terms of contracted revenue for MCT? I mean, for contracted?
Joseph Capper: You mean across the country?
Bill Sutherland: Yes. Kind of, like, the percentage of the volume that’s over contract?
Joseph Capper: I have to back to you, because I don’t have an exact number. I think, one way to think about is there is a handful of payer that don’t pay for it now. We just talked – once we get Anthem, there is handful of Blues that’s still don’t pay for it. And then there is some like with Anthem relatively restricted coverage. So we’re constantly working to improve coverage and to improve insurance carriers reimbursement.
Bill Sutherland: The coverage just shows us the whole ROI thing given the different indications?
Joseph Capper: I could speak to you for whole another hour about that. It makes no sense at all. We have proven clinical superiority versus other modalities. We have proven return on investment. I have guarantee that return and sometimes you got to wonder what they’re thinking.
Bill Sutherland: All you can do is take into the water. And then you mentioned rollout of other patched products beyond I guess NexGen MCT and CardioKey?
Joseph Capper: That’s what I was referred to…
Bill Sutherland: Those two?
Joseph Capper: Yes.
Bill Sutherland: Okay, Okay. All right. I think all my other questions have been covered. Thanks guys.
Operator: Thank you. Our next question or comment comes from the line Marco Rodriguez from Stonegate Capital. Your line is open.
Marco Rodriguez: Good afternoon guys. Thank you for taking my questions. I just want to follow-up on just a few questions. Most of mine have been asked and answered, but the product road map and rationalization, I think last time you guys on a conference call talked about just kind of integrating everything, take a look at the different roadmaps. Has that all been finalized as far as what products might be kind of pushed to the wayside, if you will?
Joseph Capper: No. It’s not been finalized. it’s work in progress.
Marco Rodriguez: Okay. Is that some sort of time line that might be fully completed and I guess, the sales team is pushing those particular products?
Joseph Capper: Yes. I don’t want to go public with that, is because it is a work in progress, there’s a lot that goes into integrating platforms like that. I think we talked about that at the outside that would probably come from the latter part of this whole integration process. We have teams working on it outside help with that, that’s a fairly sizable undertaking. The good news is, there is a lot of similarity in technology. There is a lot of opportunity, we believe in the rationalization process. So we’ll see overtime.
Marco Rodriguez: Got it. That’s fair enough. And in terms of – just a clarification on the MCT patch version, did I hear you say going to be launched out in Q1 of 2018?
Joseph Capper: The MCT patches already in the market. It’s kind of a relatively confined rollout, which is typical with a new product. You want to get feedback from customers. I think we put in roughly2,000 patients so far. We’re in the build process as we ramp up inventory. It will be more of a push in the first quarter of next year.
Marco Rodriguez: Got it. And last quick question, in terms of the earlier question on the competitive environment and just kind of wondering what you guys thoughts on some of the I guess wearable device company that of come out with some little handy little features to their watches?
Joseph Capper: Can you be more specific?
Marco Rodriguez: Yes. We said that had some details on a diabetes management they might be integrating into their wearable as well as Apple?
Joseph Capper: Yes. So I think that’s positive for the marketplace cardiac monitoring some of the initiatives are more consumer device-oriented owned companies. It’s really a positive think it’s going to build more awareness. You’re talking about potentially screening patients that are asymptomatic. If you think about the number of folks that are on that AFib that end in stroke, that’s a pretty positive thing. And for us, we think market drive, because obviously, these are not clinical great products, if you go you doc and say hey, this is flagging my device [indiscernible] what a clinical great products. And obviously, we have the best clinical great products in the marketplace. So we kind of see that as a positive, and I think will watch it closely. We think opportunity for us to partner with some of these companies in the future. So again, I think it’s positive across the board.
Marco Rodriguez: Got it. And real quick last one for me and I apologize. Do you have a quantification as far as the headwind from the hurricane, what’s sort of was an EBITDA and maybe EPS for the quarter?
Heather Getz: So – I mean, if you apply our standard margin, the 60% margin of the $2 million, that would be about the best guess.
Marco Rodriguez: Got it. Okay. Thanks a lot guys. I appreciate your time.
Heather Getz: Thanks.
Operator: Thank you. Our next question or comment comes from the line Mitra Ramgopal from Sidoti. Your line is open.
Mitra Ramgopal: Hi, good afternoon. Just a couple of follow-up questions. First Joe, regarding the MCT growth you saw, I assume most of that was from your existing base or are you continuing to add on your customers?
Joseph Capper: We continue to add the new customers. And I can tell you that, I personally think you’ll see us add more new customers accelerated capacity as we launch new product.
Mitra Ramgopal: Okay, thanks. And It seems like you’re probably ahead of schedule. It sounds like in terms of the synergies, the integration with LifeWatch. I think initially, you’d said you expected to get that $30 million of savings, I think in – over 18-month period, is that still sort of the goal? Or do you think you might get already in now.
Joseph Capper: We’ll get ahead of schedule.
Mitra Ramgopal: Okay. And just one on the sales force integration. It seems like it has been pretty seamless, no issues in terms of cultures being different or anything like that?
Joseph Capper: I want to say no issues, but I would say it’s going much, much better than anticipated. And again, I think that’s attributable to the leadership team, that’s in place of the quality of the sales professionals that both organizations had recruited and built overtime. I watch to come together, I attended some of the training sessions and I personally we have seen the as well done. So it was really important to do that, because obviously that’s your phase – your primary mechanism for relating with your customers.
Mitra Ramgopal: Okay, thanks. And then just to be clear regarding the hurricane impact, effects into FX in 4Q is pretty much all 3Q event?
Joseph Capper: That’s correct.
Mitra Ramgopal: Okay. Thanks again.
Heather Getz: Thanks, Mitra.
Operator: Thank you. I’m showing no additional questions or comments in the queue at this time. I’d like to turn the conference back over to Mr. Joseph Capper for any closing remarks.
Joseph Capper: Thanks, operator. Appreciate everyone’s time and attention today. I just want to kind of reiterate one thing I talked about that is, as we ended this integration with this acquisition integration phase, consistently try to focus people on 2018, because I knew in Q3 and Q4 will be little bit noisy as we integrate. I’m going to tell you we’re doing much better than I thought. I mentioned in couple of times in this call, I certainly didn’t anticipate double-digit growth in MCT this son that really bodes well for 2018. The record level of backlog that the research services team has built really bodes well for 2018. Some of the relationships that we’re building in the PHM business really bodes well for 2018.The integration is going much, much better than anticipated Whenever you enter into acquisition integration like this, risk of culture clash, risk of customer attrition, risk of employee, all those things have been addressed and our through them. So we’re really feeling comfortable with where the business is today. Talk to you guys next quarter and hopefully will be any even better one the this one. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. If you joined the conference late today, you may listen to the conference call via digital replay, which will be available through the Investor Information section of the BioTelemetry website at www.gobio.com until Tuesday, November 31, 2017. This concludes the conference. You may now disconnect. Everyone have a wonderful day.